Operator: Good morning, and welcome to Agios' First Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. There will be a question-and-answer session at the end. Please be advised that this call is being recorded at Agios' request.I would now like to turn the call over to Holly Manning, Director of Investor Relations.
Holly Manning: Thank you, Operator. Good morning, everyone, and welcome to Agios' First Quarter 2020 Conference Call. You can access slides for today's call by going to the Investors section of our website, agios.com. With me on the call today with prepared remarks are Dr. Jackie Fouse, our Chief Executive Officer; Dr. Chris Bowden, our Chief Medical Officer; Darrin Miles, our Senior Vice President of U.S. Commercial and Global Marketing; and Andrew Hirsch, our Chief Financial Officer and Head of Corporate Development. Dr. Bruce Car, our Chief Scientific Officer will join for Q&A.Before we get started, I would like to remind everyone that some of the statements we make on this call will include forward-looking statements. Actual events and results could differ materially from those expressed or implied by any forward-looking statements as a result of various risks, uncertainties and other factors, including those set forth in the Risk Factors section of our most recent Form 10-K filed with the SEC and any other filings that we may make with the SEC.With that, I will turn the call over to Jackie.
Jacqualyn Fouse: Thanks, Holly. Good morning, everyone, and thank you for joining our first quarter 2020 results call. At the beginning of the year we laid out ambitious plans for 2020. Along with rest of the world we couldn’t know what challenges would lay ahead related to the impact of the COVID-19 pandemic.The past few weeks have stretched each of us personally and professionally as we adapt to the necessary constraints of physical distancing and realize more than ever how our actions can impact the people around us. We wish continued good physical and emotional health to all of you, our patients, the systems healthcare professionals, our Agios team members and humanity at large.There is no modern playbook for a crisis at this time, but at Agios we quickly relearned our priorities around the health of our employees and their families, our communities and the patients we serve.To start, in February we activated our organizational resiliency team and clinical operations response team to assess the evolving coronavirus outbreak and put plans in place to address its impact on every facet of our business. On March 10, we made the decision for most of our employees, including lab and field personnel to work from home to reduce the likelihood of exposure or transmission of the virus to others, a policy that remains in effect.Our supply chain strategy has ensured uninterrupted supply of our commercial and clinical medicines and our patient assistance program, MyAgios has been a constant resource to help new and existing TIBSOVO patients remain on therapy, including those that have lost their insurance due to unemployment.With the help of our dedicated employees, we have been actively supporting our communities and healthcare workers including organizing a donation of Agios' personnel protective equipment supply to local hospitals, raising more than $22,000 for the Greater Boston Food Bank and encouraging blood donations. The teamwork and resilience I have witnessed in these last few weeks has truly been remarkable and gives me hope that we will come out of these challenging times even stronger than we were before.Turning to the impact on our business, we've taken a fresh look at our priorities and made important resource allocation decisions to support execution against the most critical objectives for our business. During this period of disruption and uncertainty, we are focused on delivering on our comp [ph] objectives, including driving TIBSOVO performance and rolling out late stage AML and glioma studies and advancing Mitapivat across multiple disease areas, all while conserving cash and increasing our financial flexibility.As a result of our prioritization efforts we have extended our forecasted cash runway by six months through June of 2022. Andrew will further discuss the decisions we have made later in the call. As I mentioned earlier, we created a clinical trial task force in February to ensure the safety of patients on our clinical studies and to implement plans to keep as many patients on the study as possible. We have been managing this on a patient by patient basis consistent with FDA guidance. Chris will walk you through the impact of each program and trial as well as the measures our team have taken to address pandemic related challenges.On the commercial side we saw strong TIBSOVO performance at the start of the year and an acceleration of revenues during the month of March into April, which reinforces our confidence in our 2020 product revenue guidance. Darrin will discuss the trends we saw in Q1 in more detail. Through these efforts we remain on track to achieve our Agios 2025 strategic vision.Before I wrap up, I want to thank every Agios employee for their incredible work over these last few weeks. Your determination in the face of adversity has quite literally saved lives and I could not be prouder to be on your team.Chris, let me turn it over to you.
Chris Bowden: Thanks, Jackie. As I go through our clinical update, I will share with you the status of our study based on our best estimate of the impact we see today from the coronavirus pandemic. As a partner and collaborator on more than a dozen clinical trials, our focus has been on supporting our sites, investigators, and the patients enrolled in our studies as they all deal with the strain of COVID-19.As Jackie mentioned, our clinical operations response team meets daily to assess the evolving situation and mitigate disruption to the best of our ability on patient by patient basis.I'll start with Mitapivat, our lead PKR activator, currently being evaluated in pyruvate kinase deficiency, thalassemia and sickle cell disease. In the first quarter of this year, we achieved several important milestones for our most advanced program in PK deficiency. We have the potential to provide the first disease modifying therapy for this disease.In March, Mitapivat was issued a positive opinion on its application for orphan drug designation by the CHMP for the treatment of adults with PK deficiency. EMA orphan drug designation provides us with a number of benefits, including 10 years of market exclusivity. In addition, we completed enrollment in the ACTIVATE Phase 3 study Mitapivat in PK deficiency patients who are not regularly transfused.In total we enrolled 80 patients in the ACTIVATE-T study in PK deficiency patients. Who are regularly transfused we enrolled 27 patients. For both studies our focus now is to do everything we can to ensure patients on study have access to study drug and to capture clinical data regardless of the patient's ability to get to their medical center. This includes home visits, telemedicine approaches, use of local laboratories and courier shipments of drug.To our knowledge, as a result of these efforts, no patients on these studies have missed study drug to date. As the core period of both studies comes to an end later this year, we do anticipate challenges to our ability to access sites with data [ph], particularly those areas most affected by the pandemic. Given this, we now anticipate topline data from both studies sometime between the end of 2020 and the middle of 2021.Based on our current assumptions, potential approval of Mitapivat in PK deficiency is now expected to occur in 2022. We hope to further narrow these timelines once we have a better understanding of when participating sites will allow for monitoring visits and how access will affect our ability to achieve database lock once the last patient visit has occurred.Moving to the Phase 2 study of mitapivat in thalassemia, we completed enrollment in the study earlier this year with 20 patients above our initial target enrollment of 17. As you may recall, we established proof-of-concept in thalassemia in December based on interim data from this trial, demonstrating that treatment with mitapivat induced hemoglobin response of greater than or equal to 1 g/dL in 7 of 8 evaluable patients.Data from 13 efficacy evaluable patients included those with beta and alpha thalassemia, have been accepted for presentation at the European Hematology Association Congress in June which is being held using a virtual format this year. As we've disclosed previously, Chan of the National Institutes of Health submitted the data from the proof-of-concept study of mitapivat in sickle cell disease for presentation at EHA.Although the data were accepted, due to the new virtual format of the meeting, the NIH has decided not to present the data and instead submit it for presentation at the ASH Annual Meeting in December. We are still on track to make a decision on proof-of-concept for mitapivat in sickle cell disease [indiscernible] 2020. The goal of this study is to evaluate safety, tolerability, pharmacokinetics and pharmacodynamics of escalating oral doses of mitapivat.In addition to the 5 mg, 20 mg and 50 mg b.i.d. doses evaluated in the original protocol, Dr. Chan recently amended the study for those patients up to 100 mg of mitapivat twice daily for two weeks. Dr. Chan plans to enroll up to 25 patients in this study, though enrollment is currently paused in light of the COVID-19 pandemic.Beyond Mitapivat we have developed a next geneneral PKR activator AG-946. In March we received clearance from the FDA for the AG-946 IND application and we expect to initiate Phase 1 healthy volunteer study in mid 2020. The Phase 1 study will evaluate AG-946 in approximately 32 healthy volunteers in a single ascending dose cohort followed by a multiple ascending dose cohort.The goal is to evaluate safety, tolerability, pharmacokinetics and pharmacodynamics of AG-946, a potentially therapeutic dosing. In addition, we have included the option to enroll further multi-ascending dose cohorts in adults with sickle cell disease if the safety and tolerability profile supports continued dosing.I'll now move to our malignant hematology programs. We are focused on geographic and indication expansion for our IDH1 inhibitor TIBSOVO. To start, in the EU we have received day one 180 list of outstanding issues for our TIBSOVO filing in relapsed and refractory AML and at this time, we still anticipate receiving a CHMP opinion at the end of the year.In frontline AML we are focused on enrollment to global frontline combination Phase 3 studies which will allow us to reach the largest number of AML patients with an IDH1 indication. First is the AGILE Phase 3 study of TIBSOVO in combination with azacitidine and the second is the Cooperative Group HOVON150 study of TIBSOVO and IDHIFA in combination with standard induction and consolidation chemotherapy.As a well tolerated overall oncology therapy, physicians continue to refer patients to both studies and patients have been able to access TIBSOVO including home shipments as necessary. However, site startup activity has slowed and enrollment interruptions have occurred at some sites due to the pandemic. The AGILE trial which we originally projected to complete enrollment by the end of this year, is now expected to complete in 2021 as a result of Q1 delays in site activations in China and enrollment interruptions across the globe.In recent weeks, some Chinese sites have been able to open and we expect to provide more precise timing on enrollment completion as countries move away from the crisis and return to pre-pandemic work environments. The majority of clinical trial sites for the HOVON150 study are in Europe and enrollment at sites in heavily impacted countries has slowed. We are still relatively early in the accrual process and since it is a certainly long study, we may be able to make up some time along the way. We will provide an update on expected enrollment completion once all sites are activated and we have agreed on accrual rates.Beyond AML, we recently reopened the Myelodysplastic Syndrome on the Phase 1 study of TIBSOVO with the goal of generating the data necessary to pursue a potential U.S. regulatory filing. Since we are early in the process for reopening this study, sites starting up activities have experienced delays and enrollment completion is now expected in 2021.Finally I'll turn to AG-636 our DHODH inhibitor currently being evaluated in a Phase 1 dose escalation study in advanced lymphoma. At the beginning of the year we planned as to make a go, no go decision on further development of AG-636 by the end of 2020. As a result, for the prioritization exercise that Jackie highlighted, and very limited enrollment in the study, a total of 11 patients in all a course of 10 months, we have made the decision to stop in-house development. At this time, we plant to look for a partner to invest the program.I'll now move to solid tumors where we are advancing pivotal studies of IDH inhibitors in cholangiocarcinoma and low grade glioma and evaluating AG-270, a MAT2A inhibitor in combination with taxanes in pancreatic and lung cancers. Last year we recorded the positive readout of the clarity Phase 3 study TIBSOVO in previously treated IDH-1 in cholangiocarcinoma showing that treatment with TIBSOVO reduced the risk of disease progression or death by 63%.In mid 2020 we expect to have matured overall survival data from this study to support a potential supplemental NDA filing. Based on the current state of the COVID-19 outbreak and the impact it has had on trial site resources, we anticipate challenges in collecting the [indiscernible] data from sites and executing the daily cleaning process. Given this, the sNDA submission is not likely to occur sometime toward the end of 2020 and the middle of 2021.The INDIGO trial is our Phase 3 study of vorasidenib, our brain-penetrant IDH inhibitor, a low grade glioma that initiated in December. We are currently experiencing some startup and enrollment delays as a result of the pandemic. Given the early stage of this study and it is a long timeline we will likely be able to make up some time along the way. We will provide an update on expected enrollment completion once all sites have been activated and we have a better view on accrual rates. In the meantime, we look forward to sharing updated data from the Phase 1 study of vorasidenib in non-enhancing low grade glioma at ASCO in late May.Lastly, enrollment in the AG-270 Phase 1 dose escalation combination arms is ongoing, but has slowed at some sites as resources have been shipped due to the COVID-19 pandemic. We still expect to be able to make a go, no go decision on this program no later than 2022.To close, I'd like to thank our clinical operations response team as well as all of our safety medical regulatory and technical operations colleagues for going above and beyond the call of duty these last few months. The implications of this crisis are far from over and it is with their hard work and leadership that we're able to stay informed, support our clinical trial partners and make decisions in the best interest of patients.With that, I'll turn it over to Darrin to discuss our first quarter commercial performance.
Darrin Miles: Thanks Chris. I'm pleased to share that we delivered strong performance during the first quarter recording $23 million of net sales of TIBSOVO, a 16% increase from the fourth quarter of 2019. Growth was driven largely by increases in new scripts and refills in both the newly diagnosed and relapsed and refractory AML segment.Our market research shows that TIBSOVO containing regimens are considered standard of care for newly diagnosed IDH1 mutation positive patients ineligible for more intensive treatment and first relapse or refractory patients, which is further reflected in our measurement of patients share in both the newly diagnosed and first relapse settings.The focus of our promotional efforts we continue to observe that approximately half of TIBSOVO use in both settings is in combination with [indiscernible] with a hypomethylating agent. Furthermore, this growth is supported by continued expansion of the unique prescriber base by 25% from Q4. While we did see the typical Q1 seasonal increase in patient assistance resulting from changes of benefit designed at the start of the year, the magnitude of increase was less than we expected as underlying TIBSOVO demand grew substantially during the quarter.Our patient assistance program, myAgios, continues to operate uninterrupted in the midst of the COVID-19 pandemic as we support patients through these challenging times. As Jackie mentioned, in response to the growing concerns related to the pandemic, our field team has been working from home since mid-March and we've experienced success continuing to engage customers with tools enabling remote interactions.The urgency to treat patients with AML is high and professional oncology guidelines favor effective oral options with well tolerated safety profiles as healthcare professionals wrestle with the needs of patients with COVID-19. Given these dynamics TIBSOVO's efficacy, safety and clinical benefit profiles position it well as a preferred option for treating IDH1 positive patients. These factors coupled with sustained momentum in physician demand through April give us confidence in our full year 2020 U.S. TIBSOVO net sales guidance of $105 million to $115 million. We continue to monitor market trends carefully given the ongoing impacts of the pandemic.I want to thank the exceptional team at Agios for rising to the challenges posed by COVID-19 and continuing to deliver for our patients, our customers and the business.I will now turn it to Andrew to discuss our first quarter financials.
Andrew Hirsch: Thanks Darrin. Our first quarter results can be found in the press release we issued this morning which I will summarize. More detail will be included in our 10-Q filing later today. I'll start by discussing the quarter and then describe some of the cash conservation actions that we've taken that will enable our increased fund life [ph].Total revenue for the first quarter was $87 million which consisted of $23 million of net sales of TIBSOVO, $61 million of collaboration revenue, and $3 million of IDHIFA royalty revenue. The year-over-year increase in revenue was primarily driven by $42 million increase in collaboration revenue.As a result of BMS' notification that they would not be extending the 2016 MIO research collaboration and that they won't be selecting a program for continued development in [indiscernible] we recognized the vast majority of the deferred revenue on the balance sheet during the quarter.Going forward we will recognize the remainder in the second quarter through the expiration of the research term in mid-May. After that, collaboration revenue will mostly consist of reimbursement for activities we are conducting on BMS' behalf for commercialization and development of IDHIFA and reimbursements under our [indiscernible] agreement.Quarter-over-quarter revenue growth was also driven by an increase of $14 million of net sales of TIBSOVO that Darrin describe earlier. Gross to net was largely consistent with the first quarter of 2019 and we ended the first quarter with channel inventory levels lower than we did in December both in absolute units and weeks of demand. Cost of sales for the quarter was $533,000.Turning to operating expenses, R&D for the first quarter was $91 million, a decrease of $4 million compared to the first quarter of 2019. The year-over-year decrease in R&D was largely driven by the recording of milestones for the initiation of the HOVON150 Phase 3 study in the first quarter of 2019 and winding down of the TIBSOVO ClarIDHy Phase 3 study and the Phase 1 hematologic malignancy study.Selling, general and administrative expenses were $39 million for the first quarter, representing a $7 million increase over the first quarter of 2019 driven by increased head count to support our U.S. operations and the initial gated infrastructure build in EU [ph]. We ended the quarter with cash, cash equivalents and marketable securities of $613 million.As Jackie laid out at the beginning of the call, we recently made important resource allocation decisions to support the execution of our critical business objectives while conserving cash and increasing our financial flexibility. As part of this exercise we conducted a critical review of our spend across the business to capture reduced spending levels that will naturally occur through the impact of the global pandemic such as travel and clinical trial spend.In addition, we made decisions to delay or reduce spend on lower priority activities. These include stopping development of AG-636, parking select research programs including our program in Friedreich's Ataxia delaying the start of longer term clinical studies that are required but not time sensitive for our main clinical programs. Limiting hiring except for a select number of roles that will help us build critical capabilities, as well as significantly reducing our contract workforce and delaying IT and facilities infrastructure projects.It's important to note that we made these decisions given the uncertainty of the current global situations injected into the financial markets and not out of any liquidity concern. As a result, we now expect that our Q1 ending cash balance in addition to expected product revenue and royalties, excluding anticipated programs specific milestone payments, will now fund our current operating plan through June 2022.With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question is from Tyler Van Buren with Piper Sandler. Please go ahead.
Tyler Van Buren: Hey guys, good morning, great to hear about the increased cash runway. Thanks for taking the questions. I guess on Mitapivat in sickle cell when you state the decision on proof-of-concept remains on track for mid 2020, could you - and I understand the data will be presented at ASH, but will we see any data when you make that decision at midyear, and if so what will we see? And specifically, what do you need to see to make a decision in terms of proof-of-concept or moving forward?
Jacqualyn Fouse: Chris, do you want to take that one?
Chris Bowden: Sure. Good morning, everybody. It's Chris Bowden here and what you should anticipate is a topline data sharing similar to what we did with our thalassemia data at ASH at the end of last year, where we presented some efficacy data on the primary endpoint of that study, which was the increase in hemoglobin, and made some high level statements around safety. Some of you who attended our investor event will also note that we did provide some individual patient data.So, I can't tell you precisely what will be in that announcement today, because we're going to be looking at the data and pulling all of that together. In terms of what we need to see for proof-of-concept, that is to move to the next stage of development. From an efficacy standpoint, there are two readouts that we're interested in. One of them is addresses the issues of the hemolysis and anemia and the second is related to findings that we would see from the drug that could have an effect on vaso-occlusive crisis.So really looking at oxygen dissociation curve, sickling curves [ph], looking at ATP 2,3-DPG, happening in red cells and patients who are on different doses of treatment and then of course, looking over the course of their treatment to see what changes we might see in hemoglobin as well as endpoints that would be addressing in effect erythropoiesis or the chronic and ongoing hemolysis.So I'd say, it's a lot of different data that we'll be looking at. And we're looking forward to being able to provide some - our view of that data in the middle of the year.
Tyler Van Buren: And just as a quick follow up, can you give any more color on your decision to increase the dose to 100 milligrams, and should we expect to see a meaningful number of patients on the 100 mg dose at year end with some of the challenges you're experiencing in the near term enrollment?
Chris Bowden: I will answer part two of your question at this point. Everyone's hoping that with the measures that have been taken to address the pandemic that they will continue to be effective and that the NIH is hoping that they will be able to begin to enroll patients once they feel like they've got control on all the issues that they think are important for doing that.With regards to the 100 milligram BID dose in pyruvate kinase deficiency, we treated those patients starting with 300 mg b.i.d., which was the initial dose in our Phase 2 drive PK study. And in our ACTIVATE trials now our pivotal studies we go from 5 mg to 50 mg. The thalassemia trial we have studied two doses 50 mg and 100 mg.So the NIH was aware of this from the beginning and with our initial discussions with them, they chose to study that range of doses, 5 to 50, those three doses 5, 20 and 50 in order to understand the PK and PD and effects on hemoglobin. And with our continued discussing with them and sharing our data from thalassemia and some other aspects, they've now decided they wanted to study 100 mg in the trial and we're very appreciative of that, because that will give us a greater dose ranging experience in terms of looking at all those other endpoints I was talking about.
Tyler Van Buren: Great, that's very helpful. Thanks for taking the questions.
Chris Bowden: You're welcome.
Chris Bowden: Operator, is there another question?
Operator: Yes.
Darrin Miles: Now [indiscernible] is ready.
Operator: Thank you. Our next question is from Anupam Rama with JPMorgan.
Anupam Rama: Hey guys, thanks so much for taking the question. On the finance side and extending the cash runway, so what's the assumption here for sort of enrollment across studies picking up and the infrastructure building continuing? And if the pandemic is prolonged, what are the push-pull levers on the cash runway guidance may be being extended potentially? Thanks so much.
Jacqualyn Fouse: So it's Jackie. Hi Anupam and Andrew is probably going to want to jump in on this, but I'll just start at a very high level there. And I think Andrew said this in his prepared remarks, there are some expenses that we would expect because of the delays to potentially go down and just stay down including some T&E and things like that. Many of the other ones are also related to gating based on how the situation unfolds and so those could – some of those could be gated for an extended period of time.Of course, we're all hoping that from the clinical trial enrollment standpoint that things pick back up and come back to the enrollment curves that we would have forecasted before this, but in any event that pushes things out by a little bit at a very minimum. So I don't know, Andrew, if you want to add anything.
Andrew Hirsch: Yes, sure, yes. Anupam, I think, the actions that I talked about in terms of things that we are delaying or pushing off, those are through that runway period. And so, as you're probably well aware, it's a pretty dynamic situation and so we're poised to react as the situation changes. And so, I think there are potentially other levers as we see business developments unfold, throughout the period, but it's just – it's too hard to predict what those are going to be right now.So we felt comfortable that these were the right decisions to make today to buy us that that runway through June of 2022. And then, we're closely monitoring the situation and we'll be able to kind of react if need be.
Anupam Rama: And just another quick one real quick. So for ACTIVATE and ACTIVATE-T Chris, I think you said that no patients have missed a dose yet. But what sort of measures and strategies do you have in place to sort of mitigate any potential loss to follow up data over the course of the next few months? Thanks so much.
Chris Bowden: Well, we've got - our teams now are focused on staying in touch with investigators for not just our PKR program, but for all of our trials as much as possible with our CRO partners in terms of anticipating when patients are coming up to important study visits, when they may need to have a laboratory value. And so what we're doing is following the FDA and the EMA guidance, in terms of taking any steps we can to capture all of that data. And then to document it, which I think is going to be one of the key factors.Like any trial there's always missing data. And so our goal is to really go after key efficacy data, key safety data, and get to keep getting drug to patients as we've been able to do. I think there will be certainly the potential for us to have to evaluate how we would address missing data depending on how much it is and which data you're talking about, whether you do it through various sensitivity analyses that could be discussed with the authorities, et cetera.But at this point, the overall goal for us and as best as we can tell, we've been pretty effective at keeping patients on treatment and getting the requisite data that we need to collect. I think one of the biggest impacts you've heard from us on our prepared remarks in terms of the pandemic or aspects around accrual and then actually getting into sites to extract data out.So that's about, I think Andrew’s comments of dynamic situation, this is constantly evolving, some places are getting better and where the smoke is starting to clear a little bit and other places we're still just working on it day-by-day, patient-by-patient, site-by-site basis.
Anupam Rama: Awesome, thanks for taking our questions.
Operator: Thank you. Our next question comes from Peter Lawson with Barclays.
Peter Lawson: Hi, thanks for taking my questions. Just some tips about revenues - when if you provide any more detail around potentially off label you're just seeing or increased off label use and whether the scripts have been written longer and any changes in inventory, that would be great? Thank you.
Jacqualyn Fouse: Darrin, you want to…?
Darrin Miles: Yep, Darrin here. So happy to talk about it. We limited insight into utilization in expanded indication or extended disease settings. We are aware [indiscernible] use beyond AML like cholangio glioma, but I can't give you exact number at this point. In turn - I think the other part of your question was about inventory? Is that correct?
Peter Lawson: Yes. That’s right. Yes.
Darrin Miles: I think maybe I can ship it to you Andrew or I can take it?
Andrew Hirsch: Sure. I'm not. I'm happy to answer it. Yes, so I think that's really just the shipping patterns, right. And the quarter ended on like a Monday and Tuesday and typically when we see, you see shipments and so we don't recognize revenue until it's received. So it's really just related to the vagaries of timing and shipping patterns.
Peter Lawson: Great, thank you. And then just on the…
Jacqualyn Fouse: I'm sorry. I was just going to say I think maybe one thing to note is that because I think it was sort of embedded in your question is frankly the mix of the scripts hasn't changed very much from Q4 to Q1 in terms of the split between monotherapy, as well as combination with azacitidine or hypomethylating agents in AML. So I think that maybe is worth noting. We haven't seen any impact from the pandemic in terms of the general dynamics of how the drug is being used.
Andrew Hirsch: Maybe just to add and to note is that the key driver - the driver for growth in the quarter was a significant uptake in AML. That's been the main driver here.
Peter Lawson: Yes. Got it. Thank you. Thanks. And then just on Chinese sites that are reopening, I mean how long does that take to come back online, when do you think they'd be back fully online, and is that kind of a good modeling you think for Europe and the U.S.?
Chris Bowden: When do we think the Chinese sites will all be coming back online. Well, it looks like that's happening now and then I think that really one of the key factors for us is to look at screening rates, because you've got to screen 100 patients to find 10 potentially eligible. AML patients remember they have to be IC [ph] ineligible as well. So that's probably the strongest predictor for us to start to get some insights in terms of how this is ramping back up and what the impact is on the overall accrual timeline.I can't emphasize that enough because that you just have to think of that number. Approximately, 30% of patients are IC ineligible, then 10% of that 30% has an IDH1 mutation, and then some fraction of those patients are eligible for the trial. So that's why we really pay a lot of attention to the funnel, the number of patients who are being screened. And that's a function of how many patients are getting to the site.And one of the - I think big impacts for AML trials is that AML patients are relatively higher urgency of treatment in the oncology spectrum, where just about everybody is pretty urgent. But if you think about a really busy hospital that is just overwhelmed and swamped with patients with COVID and dealing with that, enrolling a patient on a clinical trial versus giving them standard of care, maybe a decision you just have to make out of pragmatism.
Peter Lawson: Great, thanks so much. I very much appreciate it.
Chris Bowden: Yes.
Operator: Thank you. Our next question is from Chris Shibutani with Cowen. Please go ahead.
Chris Shibutani: Thank you, and good morning. With Mitapivat at EHA in the thalassemia opportunity, can you just remind us whether or not we're going to see any information in the mid-May abstracts versus the presentation? And of the 13 patients that you'll have there, how many will be evaluable with all the same markers in particular for hemoglobin? Just a little bit more insight into what you'll be able to present. Thanks.
Chris Bowden: Well, we will have some data in the abstract, and that will certainly give you an opportunity to understand a little bit about that. Certainly, we'll have more information in the presentation. And what we plan on doing is presenting data for patients, who have safety data or all patients who've had at least one dose of drug. And then we'll present efficacy data in patients who have made it out to 12 weeks.So when we at Ash, we spoke to eight patients and since then we've enrolled a total of 20. And then our data cut will then dictate and the duration of follow-up is, how many patients get in at both with both alpha and thalassemia. It won't be the complete data set. And so then we'll follow up with that, but we would anticipate that we'd have a sizeable portion of those patients that you'll be able to get a good sense of both efficacy and safety.
Chris Shibutani: Got it. And then just to confirm with the sickle cell opportunity, I believe there were plans for 25 patients to be enrolled. Was that actually achieved even if the NIH Group has decided not to do the virtual presentation were the enrollments on target?
Bruce Car: So the NIH study, Chris has the opportunity to accrue up to 25 patients. And I think what they're going to ultimately their sample size is likely to be somewhere between - probably between 15 and 25. They can evaluate 15 of evaluable and stop or they can go all the way up to 25. I think with the amendment now, up to a 100 mg b.i.d. I'm not - they haven't told us what their exact plans are in terms of accrual, and I think the actual numbers are very much dependent on how soon they can open again.
Chris Shibutani: Great. And then lastly with the 946 you are adding a sickle cell cohort, give us a sense for how many patients that might be and maybe some sense where you've tended to, we believe we may be able to learn that those kinds of results?
Chris Bowden: No guidance on when we - we'll be able to provide the results yet, because that trial hasn’t opened yet. It's being affected by the pandemic. And we're not going to - ready to disclose the sample sizes, some of that would depend on what we saw in the healthy volunteer part of the study.
Chris Shibutani: Great. Thank you for all the program updates.
Chris Bowden: Yes.
Operator: Thank you. Our next question comes from Alethia Young with Cantor Fitzgerald.
Alethia Young: Hey guys, thanks for taking my question, and hope everybody is doing well over there. May be a couple from me, one can you just talk a little bit about, I'm sure it's certainly delayed, but just your conviction and focus on potentially talking to Bristol about IDHIFA? Another question I had is just - is there any potential opportunity as it relates to, venetoclax obviously being a little bit more difficult to administer, obviously, then on your drugs and your medicines in IDH?And have you seen kind of being shipped an opportunity there? And then the third question is, around these two ACTIVATE studies, it seems like, at least my assumption was the smaller one maybe – was perhaps coming earlier than the bigger one. And I just wondered, is there any kind of sequencing and color that you can provide in light of the update guidance today? Thanks.
Jacqualyn Fouse: Hi Alethia, it’s Jackie. So just on the Bristol IDHIFA question, IDHIFA continues to be strongly partnered with BMS Celgene under the 2010 agreement. And we continue to copromote IDHIFA together in the U.S. things are going very well with that partnership as they have for almost a decade. We understand from Bristol that for now they wish to retain their rights to lead on IDHIFA and maintaining our relationship as it is. So we will continue to serve IDH to patients with our partner BMS. Any other question?
Chris Bowden: And I can pick up, oh sorry go ahead Jackie.
Jacqualyn Fouse: Hey Chris or Darrin, I don't know who the next question should pick up.
Chris Bowden: I can pick up the second question, Jackie. So regarding venetoclax as mentioned in my remarks earlier, a number of treatment recommendations had been issued over the last month. I am trying to provide guidance to the community about how to handle the treatment of AML patients as the institution's practice is wrestled with the impact of COVID-19. Those treatment guidelines favor the use of oral treatments where possible in order to minimize patient visits to the practices, transplants, or infusions, all that.So overall orals are favored in this market for the sake of issues of safety, ideally orals that offer significant efficacy and safety. Relative to venetoclax, I can't comment on their overall profile. I think what's important is that the physicians are taking into consideration the use of administration, but also the ease of being able to manage the safety profile or ease associated with the treatment as these patients are going to be more remote. And I think those things all added together fair well for us, in both the newly diagnosed patients as well as in the relapsed refractory patient setting.
Jacqualyn Fouse: And ACTIVATE-T, yes.
Chris Bowden: Yes, so Alethia it is Chris here. The two trials while they may have some overlapping sites, there are also being run at some sites independently. Some sites have only ACTIVATE, some sites have only ACTIVATE-T and some sites have both. So it is – I can't provide you any guidance around sequencing in terms of how COVID may or may not impact sort of our ability to get in there and get data out et cetera.No, our original guidance was that we would provide topline data at the end of the year for both trials. And so, and as I stated in my prepared remarks, COVID has impacted that and we would be looking at when we released topline data it would be with both trials, so that hasn't changed. One other thing is going back to Chris Shibutani from Cowen’s. In my prepared remarks you asked the question around thalassemia. We actually - I had said in my prepared remarks, we have – 13 efficacy of our patients that we submitted in the abstract. So you'll see that.
Operator: All right, we'll continue. [Operator Instructions] Our next question is from Michael Schmidt with Guggenheim.
Michael Schmidt: Hey, guys, thanks for taking my questions. I just had one on AG-946. I know this backup Mike here so to speak was designed to have, you know, less aromatase inhibition losses to pivot, but I'm just wondering if there are any other characteristics that might be different, thinking of potency or selectivity or anything that might, I guess, improve characteristics even further for this molecule and how you think about positioning that longer term in both, in hemoglobinopathy and also in PKD?And then the other question was really on TIBSOVO, we've heard from other companies that there's been a little bit of warehousing in some cases of oral cancer drugs around the COVID-19 crisis early on. I am just wondering if you've seen anything like that in your case as well? Thank you.
Chris Bowden: Okay so, Mike it's Chris Bowden here for 946. So while aromatase inhibition with mitapivat has not been a problem to-date, it is something we continue to follow and then it is not inhibiting its development and so, we're able to take that molecule forward. At the same time, AG-946 had several other attributes in addition to it not having off target effects on aromatase that could make it a better molecule.We think its pharmacokinetic properties may lend itself to once daily dosing. It is more potent against wild type compared to mitapivat. And in the realm of pyruvate kinase deficiency, it has some activity against some of the – some mutants that we've seen as being relatively non-responsive to mitapivat. So it has the potential to be a better molecule from an efficacy perspective and convenience perspective across all indications and it has the potential to have a broader spectrum of activity and part of a kinase deficiency.That said, I just want to emphasize that we can and right now we're doing a lot of pivotal trials, execution with the ACTIVATE and PK deficiency, planning in thalassemia with mitapivat, so we have a lot of confidence in that molecule. I think Darrin you've got the second part right?
Darrin Miles: Yes so, I'll address the question regarding warehousing. So we've scoured our customers and our distributors to make sure that we've got the right insight on this particular question. And if you recall, we have a fairly narrow distribution channel. So it allows us to have greater oversight or insight into how the drugs are being logistically are being managed. So the to answer your question no, we don't have evidence of any of any stockpiling.And to add on to that, we've only heard of one or two instances where our peer sought a more than one month's fill for patients order. So we feel fairly confident that we don't have inventory stockpiling, either at the practice or institution, or with patients.
Michael Schmidt: Great, thanks for taking my questions, it was very helpful?
Operator: Thank you. Our next question is from Mohit Bansal with Citigroup.
Mohit Bansal: Great, thanks for taking my question and hope everyone is staying safe. A couple of questions if I may, one is, are you seeing any trends in terms of some doctors choosing TIBSOVO even over induction regimen, especially during pandemic? I am asking from the point of view of elderly patients who may be otherwise eligible for induction. And then the second part of this is more strategic, shouldn't this DHODH the reprioritization, should we take this as a signal of company now focusing more on the rare genetic diseases as the core franchise while deprioritization hematology for the future programs? Thank you.
Jacqualyn Fouse: I was just going to hop in real quick on the strategic question Darrin and then let you, because I think this one is pretty fast. Sorry to interrupt you Darrin. The answer is, no I mean, I think we had and I don't think, but I know we had already planned to make a decision on next steps related to DHODH over the course of this year and we came to that decision, a little bit earlier than the year maybe than we had previously expected.And the treatment landscape for both non-Hodgkin's lymphoma where we were studying the drug as well as AML have both significantly changed over time. And based on that as compared to when we started this program and as we said, just given the lengthy time to enroll patients, we decided that we would move that particular program out from the portfolio and try to partner it. I personally think that if that drug has ever sees the light of day it's probably going to be in a combination regimen. And if that's the way forward for it, we'd rather do that potentially with a partner.
Mohit Bansal: Got it.
Jacqualyn Fouse: So that's - all there is to that, Darrin, sorry.
Darrin Miles: Yes, with regard to your question, if you look at the treatment guidelines that I referred to earlier, both those issued by ASH and institutions that have been handling a disproportionate number of COVID cases, both will indicate that it's reasonable to consider less intensive treatment options for patients who otherwise may have been eligible to receive intensive chemotherapy [indiscernible].So TIBSOVO would be one of those reasonable options for those patients, whether alone or in combination as we're seeing the community do spontaneously. That said, I haven't heard of any - received any antidotes that indicate that TIBSOVO has been initiated in those treatments yet, but it's still somewhat early days.
Mohit Bansal: Got it, very handsome. Thank you.
Operator: Thank you. Our next question comes from Mark Breidenbach with Oppenheimer.
Mark Breidenbach: Hey guys, good morning and thanks for putting me in. Quick one probably for Chris on ACTIVATE and ACTIVATE-T. I'm wondering since we're looking at a potential maybe six month delay until topline data from previous guidance. Are we going to see any difference in the follow up times for the assessments of the endpoints in these trials versus what's specified in the original protocols?And specifically with regards to ACTIVATE-T, I'm wondering if - this is the one that uses a transfusion dependence and [indiscernible] hemoglobin response and I'm wondering if you can comment on how we'll be able to deconvolute any reductions in transfusions from drug versus patients simply avoiding going to the clinic as a result of the pandemic? Any thoughts you can give on that would be very helpful?
Darrin Miles: Yes, okay. The first part is would we expect a delay and follow up. And I can't say for sure at this point, but our view of this is that there are 27 patients in ACTIVATE-T, and so each one of them is extremely important. And so the one upside if there is the lack of a better term is that you know where each and every patient is and as opposed to the 10,000 patient cardiology trial where you just can't do that.So as best as we can tell, we're trying really hard to stay on top of assessments and patients getting their visits and staying in touch with the investigators. And then your question around, did they miss a visit because of COVID, because their outpatient clinic or their clinic however, their physician or group was prioritized in other directions, we will be able to capture that. And then we'll have to see what that looks like for how many patients were actually affected in terms of analyzing that data.
Mark Breidenbach: Okay, that's helpful. Thank you.
Darrin Miles: The only other thing I would add, and this just goes with some of the higher level things we've been saying, we and other companies now have developed case report forms to be able to capture COVID related events and then documenting is really important. And so when the dust clears from this, that will be a key aspect in terms of describing your results.And if you look at the guidelines from the agencies, they provide a lot of input on how we should be thinking about this and we are spending a lot of time tracking it. And we're also talking with lots of other companies in terms of how we're doing it. And we, in fact, have had some companies including us are having interactions with FDA and IRB, so it's a very active area and I think it's a really important point that you raise.
Mark Breidenbach: Thank you.
Operator: Thank you. Our next question comes from Kennen MacKay with RBC Capital Markets.
Kennen MacKay: Hi, thanks for taking the question and congrats on the Q1 progress and execution despite the pandemic. My question is on mitapivat, I was wondering why the dosing strategy for sickle cell disease was different from beta thalassemia to begin with? And hoping you could give us some color behind the clinician's decision to escalate the dose in a SCD, what that was based on?And secondarily on SCD with all the moving pieces of the new dosing strategy and the pause in enrollment and pulling the presentation from EHA, now you'll be making the go, no go decision before any of this data is publicly presented at ASH in December. So just hoping that you could help us understand what's needed to be seen to go forward in SCD if that's the motivated [indiscernible] 80% to 90% of patients need to achieve a 1 gm/dL hemoglobin response or if not really what you're focused on and your level of confidence around achieving that proof-of-concept? Thanks so much.
Chris Bowden: Yes. Hi, Kennen, this is Chris. As per one of the earlier questions from Tyler, we had been discussing all of our data that with mitapivat in both pyruvate kinase deficiency and thalassemia as the - in our overall plans with the NIH was putting their trial together. And as they were thinking about how long they wanted to treat patients, their first experience of a PKR activator in patients with sickle cell disease, they landed mostly based I think on our dried PK range of dosing that we were studying of 5 to 50 mg. And from the get go, given that this was a trial that they were taking into patients for the first time, I think it was pretty clear. And if you had any interactions with the NIH that's a hot bed of clinical research and they put a lot of - they bring a lot of flexibility of thought into their study.So as we've been going forward in terms of looking at their data, and looking at our thalassemia data, they took the decision to escalate, add that amendment to 100 mg. They are the sponsor of the trial. So ultimately they make those decisions and initially they wanted to study three doses, and then recently decided to add the 100 mg dose at the end of the - after the 50 mg dose. And we're very supportive of that. Much like at ASH we declared proof-of-concept on the basis of eight patients worth of data with a topline and now we're going to show a full, a much more detailed data set for the first time at EHA. So this is operating in somewhat the same way.I think then the issue is that that's on everyone's mind is how do you determine proof-of-concept. And then it really comes back to what is the totality data, totality of data look like in terms of the two potential endpoints that you can think about sickle cell disease, addressing the anemia, hemolytic anemia and hemolysis and the untoward effects of that as well as what do you see with 2,3-DPG and sickling curves and how does that help you think about, could you potentially address those occlusive crisis?The other really important aspect that we'll need to look at, albeit, there'll be a relatively small number of patients is safety. So it's going to be those factors we'll look at, we'll analyze the data and we are confident that we're going to be able to decide whether we can move forward and do it into the next phases of clinical development by the middle of the year.
Kennen MacKay: Thank you very much. I appreciate it.
Andrew Hirsch: And Kennen, this is Andrew. Just to sort of - part of your last question I think, you know the other point is that, just because you may not see the data, it's an open label study, and we see the data with NIH. So we'll be able to make that proof-of-concept decision based on the data.
Operator: Thank you so much. Next question is from George Farmer with BMO capital markets.
George Farmer: Hi, good morning. Thanks for taking my questions. Regarding mitapivat, just wondering if you have any experience if this 100 mg dose, if you could remind us what the safety profile looks like? And then also maybe Darrin, could you comment on where you see the impact of venetoclax studies, the Phase 3s, with low dose [indiscernible] and hypomethylating agents. How do you see the results having any impact on TIBSOVO penetration in AML?
Chris Bowden: The way - it's Chris here. The 100 mg safety and 100 mg experience is really derived from several sources. Our first experience with the drug was in healthy volunteers and we studied a range of doses from 15 milligrams b.i.d. up to 700 mg b.i.d. our for a total of 14 days of dosing. And that's still an important data set in terms of reference for us.And then in Drive PK, recall that approximately 25 patients were randomized to a starting dose of 300 mg, and then over the course of the trial for various reasons, we deescalated a number of those patients. So we have an experience above 100 mg in a group of patients. And then in the thalassemia study, patients escalate at six weeks up to 100 mg, so we have an ongoing experience there. So overall, from what we've seen so far, we think this is certainly in the range from a tolerability perspective.
Darrin Miles: Today, I'll address the venetoclax question. So, as you know, the ven LDAC study was negative. There wasn't a tremendous amount of LDAC use in duly diagnosed patients in the U.S. So we don't expect - we don't expect too great impact there. Regarding the valley [ph] study with combination with HMA, we can also think there will be fairly modestly impact there.If you remember our ven has been available for some time now in this setting. It's established in the treatment, in the patient profiles that physicians think best to use. This additional study would perhaps confirm their use there. But remember our frontline strategy has been focused on those patients who had been previously exposed to an HMA for an antigen disorder like MDS, and our most recent market research, which is post the disclosure of the VIALE-A study continues to show that we are the most preferred regimen for IDH1 positive patients in the newly diagnosed setting as well as in the relapsed setting.So and then we'll look forward to the results of the AGILE study, which will be the more exhaustive evaluation of IVO plus HMA. I'll also just remind that about half the use of TIBSOVO in the frontline setting is already in combination with HMA and same goes actually for use in the first relapse setting also in combination with HMA, though we don't promote to it.
George Farmer: Great, thanks very much.
Operator: Thank you. Our next question is from Andrew Berens with SVB.
Andrew Berens: Thanks. Just a follow up on sickle cell since I know you guys would make a go, no go decision before we see the data. Are there actually going to be any formal quality of life metrics or an impact on vaso-occlusive crisis or part of your decision? Was this going to be strictly made based on surrogate biomarkers?And then how should we think about the next-gen PKR drug in this decision, since the gaps between these two assets may be narrowing? And then also just some comments on the profile of the drug, how it should possibly fit into the sickle cell treatment paradigm in regards in new drugs that have been approved or in development?
Darrin Miles: Yes, so we're not collecting quality of life data. It's an open label, single line study against across a number of dose ranges and we are certainly are definitely collecting safety data. And if patients have adverse events of any kind, including vaso-occlusive crisis, we will capture all of that. The interpretation of that either way has to be looked at from the perspective of you don't have a control. And you might take some conclusions away if you look at the patient's prior VOC history depending on how accurate that is.So we'll be looking at that data mostly from a safety perspective in VOCs that is. So the majority of our decision making, when I say the totality of efficacy data, it's around hemoglobin laboratory data, secondary markers of chronic hemolysis, are we addressing that, LDH, bilirubin, reticulocyte counts, are they going in the right direction? And then the pharmacodynamic data set that would be informative around thinking about are you impacting the shape and the sickling propensity of the red cell?With regard to 946, it's really too early to talk about the positioning of that molecule because we were devoting our energy to thinking about developing mitapivat potentially in sickle cell disease, thalassemia and other indications. And that drug has got to demonstrate that it's safe and does what we hope it will do. So let's get - let's cross that bridge and then we will be able to start thinking about where it might fit into the overall armamentarium in terms of PKR activation broadly.And then lastly, how would a drug like mitapivat if we thought it was a compelling drug development opportunity in sickle cell where would it fit? And well, if it is depending on the data that we see from the NIH, we could see it as potentially addressing both aspects of the disease that affect patient’s anemia and raising hemoglobin and hopefully making them feel better and reducing vaso-occlusive crisis would also be a win, as well as just reducing the overall inflammation that's associated with chronic hemolysis, which we think could be a very - an outcome of the drug that could be associated with clinical benefit.At the same time of the entry of global blood and the Novartis molecule that reduced VOCs, it's crowded, so we'll have to- or I'd say it's somewhat crowded. So we'll have to think very carefully about the patient populations that they go in that we go into, and that's going to be the next order of business if we feel like we have proof-of-concept from this NIH study.
Andrew Berens: Great, thanks for all the color. I appreciate it.
Operator: Thank you. And our last question is from John Newman with Canaccord.
John Newman: Hi, guys, good morning. Thanks for taking my question. It's a quick one just on TIBSOVO. I just wondering if you've seen an uptick in prescriptions via mail or given the drug is or should be easier for people to take, just wondering if you're seeing that on your side?
Darrin Miles: Darrin here. So if you recall our overall distribution strategy, about a third of our drug is distributed via specialty pharmacies in particular. So we know that largely those are going to be mail order and a fair portion of the balance of our drug is distributed via mail order but through institutions or dispensed via SPs that are owned by right, very large practices.So the original orientation of overall distribution strategy works well in a setting like this, where patients may be more reticent to go to the institution pharmacy to obtain their treatment. And we've emphasized four institutions that we have flexibility to help those that aren't able to ship drug through their mail or the pharmacy and that they'll be able to access our specialty pharmacy channels to be able to do so as well.
John Newman: Okay, great, thank you.
Operator: Thank you. And this concludes the Q&A session. I would like to turn the call back to Jackie Fouse for her closing remarks.
Jacqualyn Fouse: Thank you, operator. Thanks again, everybody for joining us today. I want to just reiterate that despite the challenges and uncertainties that lay before us as the pandemic continues to play out, I remain incredibly excited about the progress we've made across all of our three focus areas so far this year and very proud of the Agios team.And to close, I just want to thank all of the brave healthcare and essential workers who are on the frontlines of the COVID-19 pandemic. We should all think of them every day and what they're doing for all of us. As always, I would also like to thank the tremendous employees at Agios for their dedication and passion and making a difference for our patients.And lastly, I would like to thank all of the patients, caregivers and physicians, who participate in our clinical trials. Without them, we could not do what we do and they also are navigating through this difficult moment with a lot of courage and commitment. Thank you again, and we look forward to speaking with you soon. Take care everybody.
Operator: And with that, ladies and gentlemen, we thank you for your participation in today's program, and you may now disconnect.